Operator: Greetings and welcome to the Points International Third Quarter 2016 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Garo Toomajanian. Please go ahead, sir.
Garo Toomajanian: Good afternoon and thank you for joining us today, to discuss Points International’s financial results for the third quarter of 2016. Joining me on the call are Rob MacLean, Chief Executive Officer; Christopher Barnard, President; and Michael D’Amico, Chief Financial Officer. Before we begin, let me remind you that the remarks on this conference call contain or refer to forward-looking statements within the meaning of Canadian and U.S. securities laws. Management may also make additional forward-looking statements in response to your questions. Although management believes these forward-looking statements are reasonable, such statements are not guarantees of future performance or action, and are subject to important risks and uncertainties that are difficult to predict. Certain material assumptions are applied in making forward-looking statements and may not prove to be correct. Important factors that could cause actual results to differ materially and the assumptions used in making such statements were included in our third quarter 2016 financial results press release issued prior to this call as well as other documents filed with the Canadian and U.S. securities regulators, except as required by law, the company does not undertake any obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. With that, I’ll turn the call over to Points’ Chief Executive Officer, Rob MacLean for his prepared remarks. Rob?
Robert MacLean: Thanks, Garo, and thanks to those of you joining our call today. With three quarters of the year now behind us, we are pleased with our performance to-date, especially on our success in furthering some very important strategic initiatives, namely the Points Travel Service and our Loyalty Wallet offering. I’d like to remind everyone about two important dynamics in our business that drives both our quarterly and annual results. First, we operate services with dozens of partners around the world and manage marketing and promotional activities with those many companies on an ongoing basis. Because it is difficult to foresee exactly how this complicated matrix of activity will play out on a month-to-month basis, we continue to encourage all of our stakeholders to focus on annual and longer term trends in order to judge our ongoing performance. Second, as we launched net new services, namely Points Travel and the Loyalty Wallet, the financial impact of these activities is often difficult to predict on a month-to-month basis. We remain confident and focused on the long-term opportunities. But as you can see in the second-half of the year, we are working through some of this timing complexity as it has been challenging to predict the initial performance of these new services, despite our entrepreneurial enthusiasm. So with that in mind, I’d like to quickly review some of our Q3 activities, as well as some thoughts on Q4 and into next year before handing it over to Christopher and Michael. Our core Buy, Gift, and Transfer business continues to contribute to our growth through the organic expansion of our customers loyalty programs, driving solid year-to-date annual growth of 11%. Given our expected promotional calendar over the remaining couple of months, we anticipate finishing the year on this trajectory, and therefore, with revenue growth in the lower-end of our guidance range. As you can see, we’ve worked hard over the years to not increase our operating expenses, despite meaningful investments in our two new initiatives, Points Travel and our Loyalty Wallet. As you know, we’re encouraged by the margin profile of these transactions and expect them to become meaningful contributors to our gross profit over time. With respect to gross profit the main driver of adjusted EBITDA, we are seeing two dynamics at play in the first-half of this year. First, with Points Travel we’ve been very successful in establishing new partnerships with several signed and launched and others in the final stages of closing and launching in the coming months. The industry response to our approach with Points Travel reinforces our confidence that we have identified a market opportunity where we can offer differentiated value. In fact, we’re seeing very encouraging individual metrics inside of each current deployment. However, it’s clear that our entrepreneurial enthusiasm may have been a bit ahead of actual operationalization of these programs as the modest gross profit contribution we have planned for this year is still taking some time to come to fruition. To be clear, this does not change our long-term optimism for Points Travel, but is simply the reality of introducing a new service in partnership with large organizations with ever-competing priorities. As such, we’re even more focused on ensuring the long-term success of each customer launch and optimizing the long-term potential of this compelling new offer. The second gross profit anomaly was a large retail incentive program that has not fully executed on plan as expected in 2016. This created a marginal impact on our top line, but a larger hit to gross profit. We believe this is specific to this one particular transaction as other retail programs have demonstrated good success, but it does add additional headwinds to 2016’s gross profit expectations. As a result of these high margin revenues and resulting gross profit dynamics, adjusted EBITDA on the third quarter decreased slightly from a year ago to $2.3 million. So while we anticipate ending the year within our revenue guidance range these two factors will result in EBITDA growth that will likely be flat to slightly down compared to 2015. As you’ll hear from Christopher, our business momentum continued in the third quarter for both our core and newer services. The early demand we’ve seen from Points Travel has given us confident to focus even more intently on this significant opportunity. And as a result we remain optimistic about our ability to continue to drive strong growth over the longer-term. I’d like to now turn the call over to Christopher to tell you a bit more about our performance during the third quarter and where we are headed.
Christopher Barnard: Thanks, Rob. I’ll provide some additional color on our third quarter results and details behind our optimism. Revenue at third quarter was $82.4 million, an increase of 2% from a year ago. While the growth rate was down compared to Q2 and as a result of higher level promotion activity last year relative to prior years, we are optimistic that year-over-year growth will improve in the fourth quarter. Furthermore, we are in the later stages of finalizing new BGT partnerships from our robust pipeline of opportunities. Specific details of which will be announced as we launched. So we are excited to be actively working on deployments with three new airline programs that are on track to be signed or launched in the coming months. As Rob mentioned, we continue to see our core BGT business grow steadily and fund our exciting new initiatives. So turning to those new initiatives, in the third quarter we launched AIR MILES, a leading North American retail coalition program, as our newest Points Travel partner. With membership reaching approximately two-thirds of all Canadian households AIR MILES Collectors can earn at leading Canadian retailers and redeem for select in-store and online cash awards or for events, merchandise and travel from a myriad of partners. With our white label integration AIR MILES Collectors can now earn a significant bonus in additional miles by booking hotel space at competitive rates through the AIR MILES Travel Hub. In sync with the AIR MILES’ current strategy and program dynamics, core marketing activities will be ramping into the New Year. We are very excited about the prospects of this new partnership with one of the world’s finest retail coalition programs, as we believe it opens up more opportunity in the two verticals. Also in the quarter, we launched a Points Travel redemption service with Hawaiian Airlines to enable HawaiianMiles members to redeem frequent flyer miles for hotel stays. This further reinforces our value in this competitive industry and with confidence that our ability to offer both earn and burn capabilities for the industry is a distinct advantage. In fact, we are also excited to announce that last month we augmented the functionality for Miles&More Travel Service, so that members of Lufthansa program can now use their miles to pay for all or part of the hotel booking. Adding this new functionality not only makes the Miles&More program more engaging, but it also highlights the flexibility of our service as further indication of the growing opportunity we see in the space. Building our success to date, closing deals in the new and competitive online travel space, we are excited to be in the final stages of new relationships with both a large international and a regional European carrier. These will see us deploy our full Travel Service for earning and redeeming on hotels along with our new rent a car module for earning and burning on an important new travel category for us. As we get closer to launch more details will be available on the existing new opportunities. As we’ve discussed previously, this shows continued momentum in moving our pipeline of opportunities along and indicates to us that a continued investment in this area will further support an exciting part of Points’ continued growth story. To expand on the early successes we have seen, we are ramping up our investment in new booking categories such as car rental, adding more inventories to our existing hotel and resort categories, and improving our marketing capabilities through targeted member offers generated by our proprietary loyalty algorithms. All this is focused on improving the conversions and increasing revenues for us and our partners. In summary, within less than one year and in a very competitive environment, we’ve now launched our Points Travel Service with five partners around the world, a list that will soon grow to seven. We’ve also already upgraded the functionality of some by adding more options for program members and continue develop these new services. With the combined focus on continued integration into our partners’ operating systems and processes, and possessing our pipeline of new prospects, we’re extremely pleased with our accomplishments in this new initiative and continue to be encouraged by our prospects for the next year and beyond. So now moving on to other areas of the business, during the third quarter we also launched a loyalty exchange program that now allows Domino’s Pizza’s Puntos Members in the Dominican Republic to exchange Puntos points for TrueBlue points on JetBlue. While this is a small program, it illustrates the appeal and flexibility of our loyalty commerce platform to a wide range of loyalty programs worldwide, and builds on the experience they were gaining through relationships like this one and those with RBC. Anticipating the dynamics of this kind of retail activity has been proven to be a challenge this year. On our Q4 2015 conference call this past March, we highlighted a similar retail incentive program between one of our large airline partners and a very large retailer. While promising at the early stages, the two parties have not been successful in rolling this program out as intended. While there remains some prospects of activity next year, this has put an unforeseen strain on our gross profit, gross margin profile in 2016 and is one of the main factors driving our revised view on adjusted EBITDA. That being said the retail vertical is an area in which we’re seeing increased interest for our Loyalty Wallet Services. A number of late-stage discussions across the spectrum of retail, both online and offline, are indicating that this vertical is keenly interested in leveraging the compelling incentives of loyalty points and miles in order to drive incremental business. And that being able to efficiently offer a choice in those rewards versus relying on only one program is a feature in demand by the retail vertical. Much like our Points Travel initiative, these later stage discussions should facility continued momentum into next year and beyond. Continuing with the Loyalty Wallet progress, we’re launching our service into the Choice Hotels channel next month and are also expecting to launch in one of our North American airline partners in the fourth quarter. Also in the travel of the vertical, we have signed a deal with another leading travel app. It will be leveraging our Loyalty Wallet functionality to drive incremental activity for its users. More information will follow once launch plans are secure. Lastly, on the Loyalty Wallet front, we continue to see strong interest from the financial service industry with our current bank loyalty partners affecting the service for internal use and one new bank running an internal beta test. Additionally, we’re seeing growing interest from the mobile payments world and they are increasingly realizing that loyalty is a key engagement tool for their proposition and target items. Forging new trail on this complicated space, by bringing together loyalty programs, third-party distribution channels and travel loyalty, retail and financing services, as well as their combined membership and user databases is an exciting journey that we believe has tremendous long-term strategic and an economic benefit for both point and the loyalty industry more broadly. I’ll now turn the call over to Michael for details on our financial performance.
Michael D’Amico: Thanks, Christopher. As I review our results for the third quarter of 2016, please be reminded that all of the numbers mentioned in our call today are in U.S. dollars. And unless otherwise noted, all amounts are presented in accordance with International Financial Reporting Standards. Revenues for the third quarter totaled $82.4 million, up 2% from a year ago. Principal revenues were $79.7 million, up 1% from the third quarter of 2015. Other partner revenue primarily made up of agency revenue was $2.7 million, an increase of 18% from last year. Gross margin decreased 20 basis points from a year ago to 12.2% and gross profit in the quarter was $10.1 million, flat with the prior year, but as we look ahead we expect to see year-over-year growth in Q4 gross profit. Total operating expenses which consist of employment expenses, marketing, technology and other operating expenses were $8.2 million in the third quarter of 2016, essentially flat versus the prior year period. From a profitability perspective, we consider adjusted EBITDA to be an important metric and we view it as the key measure of our success in delivering ongoing profitability. As a reminder, we calculate adjusted EBITDA by taking net income and adding back the following items: income tax expense, interest expense, depreciation and amortization, foreign exchange loss and share-based compensation expenses. On that basis, adjusted EBITDA in the third quarter was $2.3 million compared to $2.5 million during the prior-year period. Despite a year over year decline in adjusted EBITDA, we believe sequentially increasing gross profit and moderated expense growth will drive year-over-year growth in adjusted EBITDA in the fourth quarter, though likely not enough to push adjusted EBITDA growth positive on a full-year basis. Excluding part-time and contract roles, we ended the third quarter with 199 fulltime equivalent employees, up a planned 5% from 191 at the end of the second quarter and up from 187 at the end of the third quarter of 2015. Increases in personnel have centered around partner relations, marketing, research and development, and information technology personnel, as we grow our business and expand our ability to continue to scale. As a reminder, while we generate the majority of our revenues in U.S. dollars. The majority of our operating expenses are denominated in Canadian dollars and therefore subject to currency exchange rate volatility. To minimize this volatility, we engage in foreign exchange hedging to provide certainty around future costs and are typically hedged out 12 months for approximately 50% of our total Canadian dollar based expenses. Net income in the third quarter was $335,000 or $0.02 per diluted share, based on $15.2 million diluted weighted average shares outstanding, compared to $768,000 or $0.05 per share a year ago. Turning to our balance sheet, total funds available, which is comprised of cash and cash equivalents together with security deposits, restricted cash and amounts with our payment processes totaled $55.6 million at the end of the third quarter. A primary importance to us is our net operating cash, which we define as total funds available, less amounts payable to loyalty program partners. As of September 30, net operating cash was $11.9 million, a 26% increase from $9.4 million at the end of December 2015. Keep in mind that changes in total funds available and net operating cash reflect the quarterly variations in revenue and the timing of certain cyclical expenditures, including outlays for capital and intangible asset additions, the timing of partner and operating expense payments, and to a lesser extent our share repurchase program. During the quarter, we repurchased 56,776 shares of our common stock at an average price of $8.42 per share for a total of approximately $478,000. This share repurchase program will continue in the fourth quarter. I will now pass the call back to Christopher to summarize and review our guidance.
Christopher Barnard: Thanks very much, Michael. As Rob pointed out, introducing entirely new transaction dynamics with a number of new partners during the year combined with variable promotional calendars across dozens of loyalty partners makes it a challenge to precisely forecast on a month-to-month basis where these events may fall over the course of the year. With some of this activity getting pushed into subsequent months, quarters, or in some cases, into the next calendar year, it continues to drive variability in our quarterly financial results. From the top line perspective, we’ve seen this variability impact our quarterly revenues year-to-date. While we will see an improvement in the fourth quarter, these timing dynamics now indicate our annual revenue and growth will likely be near the low-end of our 10% to 20% growth expectations. Our plan for 2016 was to balance our focus on stable operating expenses with appropriate investment in new high-margin revenue initiatives like our Points Travel and Loyalty Wallet services. This dual focus has clearly paid off in terms of both stable expenses and new business development success. However, the timing on the economics of these initiatives has been more difficult to predict. Since these are high margin transactions, Points Travel and other non-BGT activity a very direct impact on our bottom line. To that end, revenues associated with Points Travel relative to our modest expectations this year, have been slowly materialized given our business development focus. Additionally, a large in-town-center [ph] relationship that we expected to be fully in market for much of the year failed to launch. Given these two items, we now expect our full-year adjusted EBITDA to be flat to slightly down year over year. As we’ve said in the past, we believe there is a significant opportunity ahead of us for new and innovative services. We expect the ramp to be meaningful into 2017 and beyond, as we focus on opening up our platform and driving loyalty commerce transactions, where we can make a dominant impact on the industry over the long term. I will now ask the operator to please open up the call for questions. Thanks very much.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Andrew D’Silva with B. Riley. Please proceed.
Andrew D’Silva: Good afternoon and thanks for taking my calls. Just a couple quick questions for everyone, first off, as far as organic growth goes for the year so far, the first nine months at least, can you give us a sense of what it was actually?
Robert MacLean: Yes. I think - Andrew, its Rob. We’re tracking right around that low-double-digits, kind of in and around that 11% that we had indicated previously and kind of expect to be in that neighborhood for the year.
Andrew D’Silva: So is the year-over-year guidance trending towards the low-end of the revenue range, just primarily due to a lack of new partners, material partners year-over-year or is there something else that I’m missing there?
Robert MacLean: Yes. I think that’s a contributor, although that’s not a fairly minor one as we talked about the revenue range. We’re pretty comfortable that we’re in the range lower-end. You got a little bit of performance that comes from the indicated products that we mentioned in respect to the EBITDA reduction. But by and large, the core business is performing right about where we would have expected.
Andrew D’Silva: Okay. And then, just kind of getting a little granular here, looking at gross profit and gross margin, strictly on a principal revenue basis, not on a consolidated revenue basis, your principal gross margins dropped sequentially and it’s near all-time lows over the last few years. Is there something that caused that during the quarter or is it just timing of - or when you hit various breakpoints with your partners?
Christopher Barnard: Yes. I think that - hey, Andy it’s Chris. It’s really a function of the partner mix during the quarters and over each period. That’s the main explanation there.
Andrew D’Silva: Okay. And then, just two more quick questions both related to Points Travel, previously stated that the gross profit pipeline is approximately $40 million. Can you give us a sense of how many actual loyalty programs that consist of within that pipeline?
Christopher Barnard: It’s a good question. Points Travel is one of the - it has been an interesting one for us. Our sales process, we have been really pleased with how the product is held up in the sales process. It’s competing very well. We’ve knocked down five deals. We have two that we’ve not yet announced, that will be announced in shortly. So performing, I would say, outperforming our expectations in terms of our ability to be out there in the marketplace and win the business. When we look out at the pipeline, we have two to three dozen targets that we’ve identified, many of those being in kind of active conversations now that make for a pretty substantial pipeline. So we’re actually quite enthusiastic about progress on the sales process, depth of the pipeline. What we have flagged in this update is we’re probably a hair optimistic on how quickly we could get the flywheel going and capture some of the economics; seeing some very good signs here in the fourth quarter as we launch some of these early products. We’re seeing presently seeing some margin expansion from our original thinking as we bring in an increased supply and additional supply into the product, which I think bodes well over the long-term. We’re starting to see some of the marketing kick-off now with producing really interesting conversion rates for us. So very pleased with that, very early days, but very pleased with where that’s going. And ultimately the technology and a new-build like this for us, very pleased with the new technology performing well also. So, overall pretty excited about Points Travel even though it’s impacting our guidance for here in 2016.
Andrew D’Silva: So two to three dozen loyalty programs in the pipeline equate to approximately $40 million in gross profit once fully deployed and assuming you land every single one of them, is that essentially accurate?
Robert MacLean: Yes, that’s fair. Now - and again with most of our pipeline over the years, we are not a static market, not a static business. So we are seeing new opportunities appear for this product literally every month for this, either people reaching out to us who are taking incumbent notes for us and looking at moving into more this model. And so our list and our pipeline continue to grow, but your characterization of it is fair.
Andrew D’Silva: Okay. And then just the last question, maybe just give us a recap of where you are with existing partners in Points Travel that have already launched. Where you had hoped to be at this point, and then what has to happen for you to be fully deployed with a partner that’s currently launched.
Robert MacLean: Yes. So we have five that are launched, two that are in kind of final stages of contract or in development already. So again feel like we are running ahead of the game and ahead of our expectations on our ability to get deals done in the marketplace. So as I say that would be the first piece of it. In terms of the guides that we put out into market here in the second-half of 2016, I think we are feeling okay about it. Again our forecast that we put in place back in November of 2016, we are probably a bit aggressive in the back-half of the year. And then we’re reflecting that. When we think about getting up to kind of a full deployment, it’s really continuing to learn everyday as we see kind of the different products or different hotels, kind of raise into the top, conversion rates improving more and more of our kind of marketing learning kind of comes in from literally every day that we are out operating the product we are getting a little more refined on that. That’s a really interesting campaign activity here in late in the fourth quarter with a couple of the new deployments that we’re quite optimistic about and see some really interesting targeting and learning that come out of that. So it really just comes down to executing against the opportunity now that we have the partners up and in place, largely driven by marketing on the kind of short-term. Second thing, I’d probably add to that is we are very active already kind of in conjunction with our partners of adding incremental functionality and distribution to the product. So you heard us talk about going from burn all this miles and points when you stay at hotels. We’ve launched now the redemptions, so we are giving these millions of members the opportunity to have additional functionality where they can take this currency and start to spend it to redeem on few hotels; economics really quite strong for both partners for the hotel business and for us on that. We are adding incremental inventory, so we’ve had inventory suppliers given our success starting to come to us and, hey, can we distribute our supply through your Points Travel product, so that’s encouraging and we see that as a real positive on expanding margin and offer to the consumer, margin for us and offers for the consumer. And then I think lastly we are adding additional products into the channel. So right now, we are focused on hotels. We’d see if launch car, which is an important to ask from a couple of our partners. So that broadens the offering again, should drive more transactions and consumer engagement. And you’ll see us continue to widen that component as well. So hotels first, cars next and then you can think about a few other packages and such that we’ll roll in here. So pretty busy to say the least, but feel good, but we’re very excited.
Andrew D’Silva: Great, all right. Thank you very much. Good luck going forward.
Robert MacLean: Thanks, Andrew.
Michael D’Amico: Okay. Thanks, Andrew.
Operator: Thank you our next question comes from Drew McReynolds with RBC. Please proceed.
Drew McReynolds: Yes, thanks very much. Good afternoon. Just on the organic growth question from earlier just within the BGT business, just wondering Rob, Michael or Christopher, if you can comment on sustainability of that kind of low-double-digit growth in 2017.
Christopher Barnard: Hey, it’s Chris. Hi, Drew. We’re obviously - this is a Q3 call, so we’re staying away from any future 2017 guidance or statements at this time. And I just point back to our historical data that shows that’s been pretty consistent organic growth number over a number of years now.
Robert MacLean: I would add - and, Chris, - or reiterate Chris’ response, one of things to add on top of that though is we do - we talk a bunch about Points Travel. We continue to have a fairly robust, though I would say, perhaps longer sales cycle pipeline on the core business and BGT as well. We’re just kind of reviewing some of that here recently that there continues to be a significant pipeline of opportunity. Some of it is a bit further our fields in terms of geographies and we kind of mentioned that in the past. I would say, you will continue to see us make announcements and knock down news in regions outside of North America. I will just not - we can’t quite get it on to this call. I think we’ve hinted at some of that stuff, but that all contribute to growth in 2017 and future years as well.
Michael D’Amico: Yes, I think as I mentioned in my prepared script, Drew, we’re working on three sign deals that we haven’t announced yet on the BGT platform that soon, as per our practice, we’ll make that full announcement once they’re out into the market.
Drew McReynolds: Okay.
Michael D’Amico: And then on top of that, to Rob’s point, the pipeline activity of net new deals and again steering to the international market.
Drew McReynolds: Okay, now that’s great. And just on the retail incentive program that that wasn’t executed as part of - or what you expected it to perform. Was that within the BGT business? And is this - like how should we view this? Should we view this as a kind of one-off, you’ll learn from it, you do it better next time or you do it different next time?
Robert MacLean: That’s a great question. Let me kind of break that question down. One-off, yes, I think you saw us, if we go back to kind of communication in the fall, I mean, the first quarter…
Christopher Barnard: It’s Q4 2015 call, so March this year.
Robert MacLean: Yeah.
Christopher Barnard: We kind of collide - this is a very large airline, very large retailer that we brought together; a fair amount of excitement and plan around issuing miles and points for activity across that retailer. We were - part of our normal course distribution of miles is not part of the BGT business, but it’s kind of on strategy for us. So we have to leverage some of our platform and our technology to take advantage of it. Now, it’s an agency 100% margin transaction for us. So we were reasonably excited about it, and a way for us to kind of add value. They just - ultimately, the two big brands couldn’t get to agreement on effectively launching that. So for us if the activity doesn’t happen and then they don’t launch the campaign, obviously this is in no economic form to them or to us. In our situation, very little impact to the top line is the net activity, but if you look at how we modified our EBITDA guidance, it’s a pretty nominal number that we’re talking about. Because this is 100% gross margin transaction it has a bit more of an impact on the EBITDA modeling. So that is a one-off. What would we do differently? Why don’t we put it into the plan before two big monolithic companies signed off and started executing? That is probably the biggest learning.
Drew McReynolds: Yes, no, I understand. Okay, that’s great. Lastly, just from me. Just clarifications, just on the expectations for Q4, so just if I have this right, you do expect year-over-year growth in revenue gross profit and adjusted EBITDA, is that kind of what I got from both Chris and Michael?
Christopher Barnard: Correct.
Drew McReynolds: Okay, okay, that’s it for me. Thanks very much.
Christopher Barnard: Thanks, Drew. Thank you. I would now like to turn the call back over to Rob MacLean for closing comments.
Robert MacLean: Right. Thank you all for joining us today. During the first nine months of 2016 we advanced our position as a leading loyalty commerce platform and we remain confident with our prospects for the longer term and look forward to speaking with you all again soon. Thank you and good-bye.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time and thank you for your participation.